Operator: Greetings and welcome to Cyren’s First Quarter 2022 Earnings Call. At this time, all participants will be in listen-only mode. A question-and-answer session will follow the formal presentation.  As a reminder this conference is being recorded. I’d now like to turn the conference over to your host Brian Dunn from General Counsel. Please go ahead.
Brian Dunn: Thank you, and welcome to Cyren’s first quarter 2022 financial results conference call. This call is being broadcast live and can be accessed on the Investor Relations section of the Cyren website. Before we begin, please let me remind you that during the course of this conference call, Cyren’s management may make forward-looking statements. These forward-looking statements are based on current expectations that are subject to a number of risks and uncertainties that may cause actual results to differ materially from expectations. These risks are outlined in the Risk Factors section of our SEC filings, including our annual report on Form 10-K, filed on March 24, 2022 and our quarterly report on Form 10-Q for the second quarter of 2022 filed earlier today. Any forward-looking statements should be considered in light of these risk factors. Please also note, as the safe harbor and the outlook we present today is as of today, and management does not undertake any obligation to revise any forward-looking statements in the future. Also during the course of this conference call, we may discuss non-GAAP measures when talking about the company’s performance. Reconciliations to the most directly comparable GAAP financial measures are provided in the tables in the earnings press release issued today and available on the Investor Relations section of our website. These financial measures are included for the benefit of investors and should be considered in addition to and not instead of GAAP measures. Joining me on today’s call, we have Brett Jackson, Chief Executive Officer; and Ken Tarpey, Chief Financial Officer. With that, I will now hand the call over to Brett.
Brett Jackson: Thanks, Brian. I'd like to welcome everyone to today's call. Cyren’s Q1 2022 overall revenues declined year-over-year and similar to last quarter, this was primarily due to a contract reduction in our threat detection business from our largest customer, which was effective in Q2 2021 and was previously disclosed in our Q3 of 2020 10-Q. It is important to note that this same customer awarded Cyren, a new multi-year contract in Q1 with a seven figure total contract value as part of a new project, which will include Cyren's web classification service. We have consistently communicated in past calls that our anti-phishing solution Cyren Inbox Security will be a key driver of future revenue growth for Cyren and become a larger part of our revenue mix over time. I am pleased to report that Q1 was another quarter of strong ARR growth. ARR grew 111% over Q1 2021. And new and expansion in customer transaction volume doubled year-over-year. Compared to Q4 2021, ARR grew 29% and new and expansion customer transaction volume grew 30%. Customer satisfaction with our solution continues to remain high with gross dollar retention of 97%. We believe our continued ARR growth and increase in customer transaction volume underscores the value that Cyren Inbox Security provides enterprises who use Microsoft 365 as their corporate email platform and need a more effective solution for phishing, account takeover, business email compromised and ransomware. Traditional email security defenses like Secure Email Gateways are simply not effective dealing with these highly dynamic and targeted social engineering threats. Many customers have implemented security awareness training solutions to help educate users so that they can play a role in the fight against phishing. This is an important component of an anti-phishing strategy, but we view the user as the last line of defense. Our philosophy and approach is to identify and remove phishing account takeover, business email compromise and malware threats before they ever reach a user's inbox. And unlike traditional secure email gateways, Cyren Inbox Security, continuously scans for these threats around the clock and has proven to reduce exposure to malicious emails and reduce the operational costs associated with eradicating them. Cyren introduced the inbox security concept to the market approximately two years ago. And we are thrilled to see a growing number of customers adopting our approach. Our anti-phishing solution remains highly differentiated and leverages Cyren's core strength and years of experience in threat detection along with automated incident response. We go well beyond identifying phishing, account takeover, business email compromise and malware threats. We automatically remove these threats from a customer's email system, saving IT and security staff, valuable time and effort as they no longer need to manually investigate and remove suspicious emails on a frequent basis. Cyren Inbox Security not only provides an effective solution to phishing and business email compromise, but also provides a real return on investment based on time and labor savings. Turning to our threat detection business, while revenues were down year-over-year due primarily to a contract reduction mentioned in my earlier comments, the highlight of Q1 was a spike in new and expansion bookings. This increase can be attributed to the acquisition of several new customers, as well as a new multi-year contract with our largest customer that I mentioned in my earlier comments. As a result, Q1 new and expansion ARR grew 222% from Q4 2021. Additionally, in the quarter we closed approximately 20 high value renewals with existing threat detection services customers. Our customer success and engineering teams continue to maintain a high quality of service to ensure a high level of satisfaction of our OEM customers and our Q1 gross dollar retention rate was 93%. With six weeks remaining in our second quarter, we have a positive outlook and are focused on achieving our plans. One final comment after a long and distinguished career, our CFO, Ken Tarpey will be retiring at the end of May. It has truly been a pleasure to work with Ken and have the benefit of his experience and wisdom on the Cyren executive team. On behalf of everyone at Cyren, I'd like to thank Ken for his contributions and we wish him well in his retirement. We will be announcing Ken's replacement prior to the end of May. I will now turn the call over to Ken, who'll go through the first quarter financials.
Ken Tarpey: Thank you Brett and good afternoon everyone. I am pleased to present our first quarter 2022 financial results. For more detailed results, please refer to the earnings press release and the first quarter 2022 Form 10-Q that was issued today and is posted on the investor relations section of our website. Please note that we present our financials under U.S. GAAP accounting standards, including non-operating expenses, and that I will discuss certain financial metrics on a non-GAAP or adjusted basis, which excludes those non-operating items. Cyren’s non-GAAP results exclude a number of non-cash items, including the effect of stock based compensation, amortization of intangible assets, amortization of deferred taxes, tax assets and an impairment of intangible assets and capitalization of technology costs. Please refer to the table in our press release for reconciliation of selected GAAP to non-GAAP measures. GAAP revenue for the first quarter 2022 was $7.3 million, a decrease of $1.5 million as compared to the $8.8 million reported during the first quarter 2021. The decrease in Q1 2022 revenues were mainly driven by a contract reduction from our largest customer, has first disclosed in the Q3 2020 Form 10-Q, which was effective in Q2 2021. The revenue impact of this contract reduction was $700,000 for Q1 2022 as compared to Q1 2021. Customer remains our largest customer, representing 17% of Q1 2022 revenue. Additionally, during Q1 2022, revenues have decreased due to customer contract renewals at lower values and customer churn, coupled with the end-of-life of several legacy products. GAAP gross margins for the first quarter were 47% compared to 57% during Q1 2021. On a non-GAAP basis, gross margins for the first quarter were 58% compared to 65% during Q1 2021. GAAP and non-GAAP cost of goods sold during the quarter was roughly in line with the same period as a year ago. So the reduction in gross margin is primarily a function of lower revenue. First quarter GAAP net loss was $6.5 million, up 25% compared to the $5.2 million net loss reported during the first quarter of 2021. This increased loss was primarily driven by lower revenue and higher R&D and G&A expenses compared to the last year. On a per share basis, GAAP net loss was $1.30 per basic and diluted share compared to $1.23 per share during the first quarter of 2021. GAAP operating expenses for the quarter totaled $9.8 million, an increase from $9 million during Q1 2021. The increase in operating expenses is mainly due to an increase in GAAP R&D expense, which increased from 49% of revenue during Q1 2021, a 61% of revenue in Q1 2022. Additionally, G&A expenses increased from 25% of revenue during Q1 2021 to 37% of revenue in Q1, 2022. R&D expense for the quarter was $4.4 million, compared to $4.3 million during the first quarter of 2021. Consistent with the fourth quarter of 2021, we capitalized a lower amount of R&D expense than prior quarters since certain new products launched in 2020 are now fully in market. Sales and marketing expense for the quarter was $2.7 million compared to $2.6 million during the first quarter of 2021, representing an increase from 30% of revenue to 37% of revenue in Q1 2022, mainly due to decline in revenue. G&A expense for the quarter was $2.7 million compared to $2.2 million during the first quarter of 2021, representing an increase from 25% of revenue in Q1 2021 to 37% of revenue in Q1, 2022. The increase in GAAP G&A expense during the quarter can be attributed to increased legal and outside services costs associated with the special meeting of the company's shareholders held in February, 2022, and the associated reverse share split along with other corporate matters. We continue to take steps to reduce expense in the business. And as a result, total reported head count in the company at the end of Q1, 2022 was 197 employees compared to  at the end of Q1, 2021. On a non-GAAP basis, Cyren's first quarter 2022 net loss was $5.2 million or a loss of $1.04 per basic and diluted share as compared to non-GAAP net loss of $3.2 million and $0.94 per share during the first quarter of 2021. During the recent quarter, we experienced cash provided by operating activities of $2.4 million compared to operating cash usage of $5.3 million during the first quarter of 2021. The reason for the positive cash provided by operating activities with the receipt of a multimillion dollar three-year prepayment during the first quarter of 2022, whereby deferred revenue has increased due to the renewal and prepayment of this agreement. We also had another 15-month renewal of the contract, which was prepaid in Q1 2022 further contributing to an increase in deferred revenue. Our trade receivables increased by approximately $700,000 from Q4 2021 due to a new test customer signed at the end of Q1, 2022, and the timing of certain customer billings, which occurred during Q1, 2022. Overall, our cash balance increased from $4.3 million at the end of the fourth quarter of 2021 to $17.6 million at the end of the first quarter 2022. This increase is the result of the two previously mentioned prepayments on customer renewals and the net proceeds of approximately $10.9 million from an equity offering, which we closed on February 14, 2022. Thank you. I will now ask the operator to open up the lines for question and answer.
Operator: Thank you.  There are no questions at this time. I would like to turn the call back to management for any closing remarks.
 :
 :
Brett Jackson: Thank you all for joining our earnings call today. And we look forward to talking to you after our Q2 earnings. Thank you.